Operator: For those who want to listen to the video conference in English, please click on interpretation button and then select English option. For a better experience, click on mute original audio. CEO, BRF, Mr. Tim Klein, CEO for North America; Rui Mendonca, CEO for South America; Mr. Tang David, VP and IR Director; and Mr. Stephan Szolimowski, IR Director. [Operator Instructions] Before proceeding, we would like to say that any forward-looking statements are based on Marfrig Global Foods perspectives, projections, financial and operational goals based on the current beliefs of the company's management as well as information currently available to the company. Forward-looking statements are no guarantee of performance because they involve risks, because they relate to future events that may depend on circumstances that may or may not occur. Investors and analysts should understand that industry circumstances may impact the company's results, leading the company to have results that are expressed in those forward-looking statements. I would like to give the floor to Mr. Tang David. You may proceed now, sir.
Tang David: Good afternoon, and thank you for joining us for another Marfrig Global Foods earnings call. Let's start with our consolidated results for the second quarter of 2025. They include North American beef, South America beef, continuing operations and BRF in line with CPC and IFRS standards. Turning to Slide 2 with the key highlights of the quarter. In Q2 '25, consolidated net revenue came in at BRL 37.8 billion, up 8.6% year-over-year. Adjusted managerial consolidated EBITDA was BRL 3 billion with a consolidated margin of 8%. Operating cash flow totaled BRL 3 billion. 17% higher than Q2 '24. Net income was BRL 85 million, a 13% increase versus the same period last year. We closed the quarter with leverage measured as net debt to adjusted EBITDA for the last 12 months at 2.71x in Brazilian reals compared to 3.38x a year ago. I will now hand over to Tim Klein to walk you through the North American operation.
Timothy M. Klein: Thank you, Tang. Let's begin on Slide 4 where I will comment on the results for the second quarter. Starting on the first chart on the left, sales volume was 5.6% lower than the same period of the previous year. Industry kilns were down 6.3%, driven by lighter placements into feedlots and longer feeding periods. Net sales were BRL 3.3 billion, an increase of 5.3% versus last year due mainly to higher beef prices. EBITDA was BRL 25 million, 71.8% lower than last year with an EBITDA margin of 0.8%. Beef demand in the quarter continues to be exceptionally strong given record prices both at retail and food service. However, the advances in box beef prices lagged the surge in live cattle prices which reached record levels during the quarter. Now move to Slide 5, where I will talk about U.S. market data. Starting on the left, USDA reported Kansas live cattle prices averaged $219.27 per hundredweight up 18.3% versus last year. The USDA comprehensive cutout averaged $351.7 per hundredweight, up 14.7%, while the USDA reported drop credit increased 0.2% to an average of $11.56 per hundredweight. The USDA cutout ratio was 1.6 versus 1.65 last year. Looking forward to the second half of 2025, cattle supplies will remain tight as we move through this phase of the cycle, forcing reduced capacity utilization across the industry. Strong consumer demand for beef and tighter supplies have provided support for raising cutout values to record levels. We expect this to continue in the second half of the year. We are encouraged by the latest USDA data that shows cow liquidation subsiding and more efforts being held back at the ranch. As more data becomes available, it will become clearer what fed cattle supplies will look like through the rest of the cattle cycle. Now I'll pass to Rui.
Rui Mendonca: Thank you, Tim. Let's move to Slide 6, where I'll walk you through second quarter performance for our South America continuing operations. Starting with the chart on the left, total sales volume reached 205,000 metric tons for the quarter, up 7.8% from Q2 '24. This growth reflects the additional capacity we've brought online over the past few years. And the chart in the middle, net revenue came in at BRL 4 billion, about 10% higher year-over-year. On the right-hand chart, adjusted EBITDA totaled BRL 439 million, an increase of more than 31% from Q2 '24. This performance was driven mainly by higher capacity, improved efficiency at our larger industrial complexes and a greater mix of value-added products. As a result, EBITDA margin came in at 10.9%, up 180 bps from a year ago. Moving on to the next slide. Let's look at the export performance for our continuing operations. In Q2, '25, exports accounted for 55% of total revenue from this operation. Sales to China represented 45% of exports from South America continuing operations. We have been focused on diversifying sales channels across our plants to reach more markets. In that context, exports to Europe grew 8 percentage points, climbing from 14% in Q2 '24 to 22% this year. Exports from Brazil to the United States accounted for roughly 2% of revenue from the -- for the consolidated South America operation. We're closely watching developments in this new environment created by higher tariffs, and we are ready to capture the best opportunities, whether by redirecting volumes to other destinations or increasing production of hamburgers and other processed products, all while keeping production steady and focusing on maximizing margins. I'll now hand it back to Tang to wrap up Marfrig's consolidated highlights.
Tang David: Thank you, Rui. On Slide 11, revenue and adjusted EBITDA for our continued operations, Q2 2025. Out of the BRL 37.8 million in total revenue for the quarter. North America contributed with 49%, BRF, 40% and South America, 11%. For adjusted managerial EBITDA of BRL 3 billion with an 8% margin, BRF accounted for 81%, South America, 14%, and North America, 5% in Q2 2025. By currency, 74% of the consolidated revenue was in U.S. dollars and 24% in BRL. Moving on to Slide 12. Free cash flow, In Q2 2025, consolidated operating cash flow was positive at BRL 3 billion. We invested BRL 1.4 billion in CapEx and spent a similar amount on financial expenses with a total of BRL 2.8 billion. As a result, recurring free cash flow for the quarter was positive at BRL 272 million. Slide 13, net debt and managerial leverage. Consolidated net debt ended the quarter at BRL 37.6 billion, down 1.4% compared to Q1 2025. Our leverage ratio is measured as a net debt and adjusted EBITDA in the last 12 months was at 2.7x. During the quarter, we invested BRL 515 million in Marfrig shares through our share buyback program and BRL 338 million in BRF shares. If we adjust net debt for receivables and contractual adjustments from the sale of assets in Uruguay, the leverage would have been 2.66 times. Slide 14, net income and value creation. In Q2 2025, consolidated net income was BRL 85 million, compared to BRL 75 million in Q2 2024. Marfrig's profitability consistently translates into value creation and returns to our shareholders. In the past 5 years, Marfrig paid BRL 2.5 billion in dividends. And in 2024, BRF paid another BRL 1.1 billion to shareholders. Our diversified protein portfolio and geographic footprint with focus on higher value-added products, premium brands and processed items continues to drive significant value to shareholders. On Slide 15, we will talk about the schedule for the operations announced in May that together was proposed to incorporate BRF shares by Marfrig, creating MBRF. Shareholders approved in the extraordinary assembly on August 5. On August 6, we announced the period of the recess period that is underway, and that will end on September 5. We expect to conclude the MBRF transaction by the end of September 2025. We will keep all shareholders abreast of all the evolution of that operation, and we are excited to make even more progress in capturing synergy, generating more value to all shareholders at MBRF. Thank you very much. I now turn it over to Marcos Molina.
Marcos Molina: Good afternoon, everyone. First and foremost, I want to commend the whole BRF Marfrig South America and North America or the second quarter of 2025, one of the best quarters that we had in our history. I want to congratulate Miguel and the whole BRF team that despite the avian flu, they managed to achieve solid results. With -- even with higher inventories, we generated solid cash and results despite the challenge with Turkey with smaller margins. They were able to redirect production and weather this avian flu with solid results. Marfrig, South America under Rui's leadership I would like also to congratulate the whole team, because they managed to increase the cure rate, increase production, processed products branded products and integrating units A and B and at the [Promisol] complex. Slaughtering 3,000 head a day. Later, we can answer about CapEx, but the investment in both units in Brazil, Argentina and Uruguay with all investments made at the end of 2025, we'll have the same slaughter and processing capacity that we had before we sold the assets that is. We will get to the end of 2025 with the same production capacity and with many more processed products, much many more branded products at a lower cost per kilogram produced. I would also like to commend Tim at National Beef despite the challenges due to the lack of cattle supply. And the partnership we have with 700 U.S. producers, we showed resilience in our results. Despite a scenario where all players had a negative margins, we achieved 0.8. So excellent results showing resilience and the quality of National Beef and the modernization investments that we made over -- especially the past 2 years. An example of that earlier this year, we inaugurated the liberal plant, and now those results start to show. in terms of operations, we did very well. Let me go ahead and raise a few points that have been raised on other occasions, then we can take your questions. I want to thank BRF and Marfrig shareholders, but mainly BRF shareholders for their approval on the assembly where they approved the merger from the very beginning, the vast majority of minority shareholders approved the operation in the second round. 90% of shareholders voted and they voted for the operation. I'd like to remind you that BRF shareholders that voted for had a disincentive to vote because they were losing the right to recess at 1985. So most shareholders approved the operation despite the fact that they were losing the recess right. So we ended very well, and we are very pleased to have that approved from the vast majority of minority shareholders. I was very happy with the results. One more point is the capital structure. The new company starts. I would like to make it clear that, that National Beef is at the lower part of the cycle, the lower part of this cycle. 3x EBITDA. National Beef when the cycle is normal, the MBRF would start 2.5x EBITDA. It starts efficiently with a strong capital structure because we are navigating through the low part of the cycles with 3x EBITDA. And even so, we paid out dividends to remunerate Marfrig and BRF shareholders. We will have an adjustment by September 15. That's when the right of withdrawal ends. Initially, it was May 15, those with the right of withdrawals today in our base their right of withdrawal is about BRL 500 million. BRL 3.5 billion in dividend payouts at BRF would come down to 3. There is an adjustment in Marfrig to be made. Marfrig also bought BRF shares. So we will have that adjustment. First, we will maintain our financial discipline. We want to have below 3. So we want to pay out dividends. So we do have that fine adjustments because we also want to maintain the swap ratio. So we are looking at all the important pillars of the company. You saw an increased share of the controllers. As I mentioned in the latest results, that the merger of the companies would be 41.5, I find price very attractive, both for BRF and Marfrig. I bought both. I increased my stake. First, because it's an attractive price. And number two, I completely trust the team that we have, and I trust BRF. As you saw in Marfrig's presentations over the years, we have liquidity, so I'm an investor at Marfrig and BRF because I find the price very attractive. We are hopeful about the antitrust authorities position, CADE in Brazil. The decision was 4:1 very technical votes. They already have a consolidated position, but we are waiting for their final meeting that will take place on the 30th or rather on August 20. We are quite confident that we will have the green light from the antitrust committee. MBRF will be multi-protein and very competitive contributing so that Brazilian consumers can have access to the three proteins at reasonable cost and that is due to the efficiency gains that we have achieved, and we will offer consumers a very competitive product. Another point. What is this new MBRF? All the material we posted on the merger, you have all the details so that you understand what the new company is. All the CapEx, there is a lot of material to be looked at. We already have JPMorgan and Citibank issued their opinions. We are very confident that MBRF as Miguel mentioned. We have a very aggressive CapEx at BRF, but we also have tax credits in Parana, for instance, we have BRL 1 billion in tax credits that we can use to invest. Use that tax credit to grow and unlock value without burning cash, but rather using those tax credits to increase our production. One more point just to close. If we take Q2 2025, the profit per share or those that are BRF shareholders is BRL 0.46 per share. When you perform the merger with Marfrig today, the consolidated Marfrig profit plus BRL 200 million in synergies. BRL 150 million in taxes. This is not net profit, but it's cash generation we would have a return of BRL 0.54 per share. So a BRF shareholder instead of receiving BRL 0.46 per share would receive BRL 0.54, so more liquidity in other words. Let me give you an exapmple. 25% of net profit paid to shareholders as we can pay with credit, we will have an opportunity to pay out 50% of the net profit in dividends or MBRF shareholders. And this has been our history, paying out dividends to our shareholders. After intense work in the past 3 years, the company BRF is on the track. We are paying dividends again. And the same will take place with MBRF paying out dividends constantly to our shareholders. So I am very happy with the merger. The new MBRF is a very competitive and efficient company with a very good growth outlook in Brazil and in South America, and also in the U.S. In the Middle East, an enormous opportunity we have to grow in the Middle East. The new plant in China, we started operating same thing in raw material. That plant was idle. We've made an agreement with McDonald's and this week, it already produced the first products to McDonald's, and it hadn't produced for McDonald's for 10 years. So we are very confident in the new MBRF, and we can now open for questions.
Operator: [Operator Instructions] Henrique Brustolin from Bradesco asks the first question.
Henrique R. Brustolin: Good afternoon, everyone. I actually have two. Now that we understand the context of the merger. And since Mr. Molina is here with us. I think it's a clear the track record of both companies, Marfrig and BRF had a similar history, Marfrig focusing on beef and working to integrate with BRF and BRF going through that turnaround process. It's all very clear that they have been addressing some of its issues, and they were already on the growing path on their own. Now after the merger,what are BRF main strategies initially, first year, first month? Will the focus be on capturing synergies or focusing and focusing more organically? Or is there something along those lines? That's my first question. The second question is about results in South America.
Unidentified Company Representative: Just a second. Let me answer the first question and then you ask the second, right?
Henrique R. Brustolin: No problem. Go ahead.
Unidentified Company Representative: Well, Our main focus is synergies. After 60 days after the announcement of the deal of BRL 800 million worth of synergy. These BRL 800 million is a very conservative assessment, rather. So number one, we should focus on benefiting from that synergy of BRL 800 million. Everything has been very well mapped out, and we are confident, now that we know the company when we acquire an asset, we never believe in synergies. But this case is different. It's been mapped out, it's in-house, and we are confident we'll be able to pull it off. So that's the #1 focus. Listing in the U.S. or being listed in the U.S. is, of course, under our radar. We are monitoring it as we speak. It's only a natural step provided. We can improve the multiple and lower our cost of capital. We'll be ready. We are mature enough. So let me in some. The next 6 months is to focus on synergy and at the same time, we'll be ready to become international. When I said -- when I made that calculation of per share profit, we got to BRL 0.54 per share. Let me just remind you that we are including National Beef at a lower cycle. If you are a shareholder of MBRF, if we had a normalized National Beef, the profit per share would be twice as much basically than what we have today. You can ask the second question now.
Henrique R. Brustolin: This has been very clear, Marcos. The second question is about South America, looking at the second half of the year. Despite the export restrictions or the American tariffs, it seems that you're going to have a very positive Q3, even including margins based on the behavior of prices so far. And I believe that you have a very favorable seasonality in terms of volume because of the integration of the feed lots. Is my interpretation correct? Not only top line is sped up by volume, but now at the start of the quarter, margins could have a better performance when compared to Q2. Am I right in that assessment?
Unidentified Company Representative: I believe we have a couple of things to go over. We've been talking about the industrial complex at a lower cost. We're not at full capacity. We're going to grow 30% this year. We have some added value products growing as well. Box products are reaching 50% our feedlots. This quarter alone, we grew 26% as compared to Q2 of '24, ensuring that occupancy rate in feedlots, we can improve the quality we can better serve the European market. The growth in Europe, it has a lot to do with the feedlots. We have these new certifications. We have 24 new licenses this year alone and not to mention the operational excellence, BRL 400 million, only out of those efficiency gains. So the second half is very positive, and I'm certain.
Operator: Next question from Lucas Ferreira from JPMorgan.
Lucas Ferreira: [Interpreted] My first question goes to Tim although you have a very lean and efficient operation. My question is, do you think there is still room for some gains in operational efficiencies, some reduction of expenses or costs in order to face this more complicated moment in the cycle. And I'd like to understand, to your mind, the main driver to increase cattle price in the short term, we see some cattle retention that would reduce the availability. That's the main driver of price. So how do you see that movement in the forthcoming quarters? That was to you? And to Rui, which has to do with the same question I asked, Tim, Rui, do you think that the prices in the international market will remain high and favorable. So how do you see demand in the main markets you sell to and if you have any perspective of better prices for the second half, Tim?
Timothy M. Klein: Yes, as Marcos referenced our liberal project. We just completed $170 million application facility starting to go up in -- after the first of the year, and we're still gaining efficiencies and opportunities as we speak. So yes, to your question, we expect more internal improvement that will benefit our bottom line as time goes on here. So we're very excited about the project. In terms of retention, we are seeing signs of [indiscernible] retention. And yes, that will slow down marketing of cow growing with feedlot, but we expect that and anticipate that -- but we don't see that retention being dramatic, not as dramatic as the last cycle. So the numbers we're seeing right now are pretty much what we had estimated and USBA data supports that as well.
Rui Mendonca: Hello. As for price structure, I think -- the main highlight is still China. We had an average price increase of 25% compared to Q2 2024. We can see that especially now where they start buying for the Chinese New Year. So the outlook for demand and price is favorable. Brazil, Well, the U.S. accounted for 2% of Brazilian imports. Obviously, our geographic diversification gave us certain advantages, the prices from Uruguay and Argentina to the U.S. already grew 10%, and the work being done in the U.S. is valuing the price of beef, so geographic diversification is giving us several advantages, and it will be consolidated in the second half of the year. There are some new facts of new markets coming up. Philippines and Indonesia, for instance, there is a lot of possibility for bone beef and offers these markets will offer profitability. We are very optimistic about the second half of the year.
Operator: [Interpreted] Isabella Simonato from Bank of America asks the next question.
Isabella Simonato: [Interpreted] Good afternoon, everyone. Good afternoon, Marcos. I'd like to go back to the capital structure. You talk about the net debt at 3x, yes. And I understand EBITDA has been under pressure because of the beef margins. but the BRF EBITDA remains solid because of the chicken cycle as we approach the approval of the merger, could you please elaborate on the plans to deleverage more focused on liability management? BRF is 0.3, 0.4x deleverage concentrating Marfrig. So cash generation is under pressure. Can you give us some color as to how you are going to redesign that debt structure? What kinds of savings out of financial expenses can come out of that that will help us interpret the company in a consolidated fashion from now on. That's my first question.
Unidentified Company Representative: [Interpreted] Hi, Isabella. That's one of the principles of the merger. Out of those BRL 800 million worth of synergies, there are some gains out of there. But you have the capital structure when you merge the two, there will be many opportunities. I don't know whether -- you've seen this that S&P raised MBRF score. So credit agencies are now looking at the company in a consolidated fashion. So we have to take into account synergies of both companies together. Both financial teams are working hard to extract all possible benefits and gains to be collected. I don't know whether tang can help me out in answering that question. I don't know whether you -- I didn't quite understand your question, actually.
Marcos Molina: [Interpreted] Well, Isabella. I have to make a proxy, a simple calculation. If you take the past 12 months, both EBITDA interest -- I mean, consolidated and you take into account CapEx as well, you can get to the net cash generation numbers quite closely. And let me remind you, if I may, by incorporating shares, we have BRL 23 billion worth of cash that is consolidated that can also be used for that liability management and bring down financial expenses.
Isabella Simonato: [Interpreted] Thank you very much. My next question actually goes to Tim. Still along the discussions of the cattle cycle in the U.S. and your performance. But as the rest of the industry, the margin tends to be negative in the industry. I'd like to see your take once retention started, where do you think margins would bottom? I know it's hard to give a precise date, but what is your best guess in terms of when margins will bottom?
Timothy M. Klein: Typically, margins will bottom when the cow supplies are the tightest. However, there is a seasonality that goes along with that. So to your point, it is very difficult to pinpoint exactly where that will be. We feel like the margins that we saw here in the second quarter were very low compared to what we would normally have expected. Part of that as cattle will be in held in feedlots longer. But overall, we think we've got a time period here sometime in '27 or early '28 when we'll see more numbers show up. So if you do the math on that, that's probably where we're going to see margins bottom if they haven't already. There's other factors that go into that. The demand side of the equation, how quickly we can ratchet prices up as cattle prices increase the rationalization of capacity in the industry with fewer cattle a few hours being running these plants. And that all goes into the calculation or decision every week on what to pay for cattle, what to sell meat for and how many hours to run the plants.
Operator: [Interpreted] Thiago Bortoluci, Goldman Sachs asks the next question.
Thiago A. Bortoluci: [Interpreted] Hello, good afternoon. Thank you for the presentation. Thank you for taking my question. Before I say something, Congratulations, Marcos and the entire team on the merger, especially because of the voting of the minority shareholders. Marcos, Let me address the first question to you. I would like to hear what you have to say about capital allocation and opportunities of the consolidated company as a shareholder. Do you believe that the excess capital and the excess cash generation of the new company could be better used through dividends, buybacks or M&A if there are any M&A opportunities out there? And along the same lines, when we monitor the 358 movements, you opened some relevant derivatives operations to be settled later this year and early next year. Can you give us some guidance once you conclude the merger as to how -- what the position of the shareholder -- the major shareholder would be in the new consolidated company?
Unidentified Company Representative: [Interpreted] Well, the capital structure. Well, number one, we have to conclude the right of withdrawal, dividend distribution. And then is to actually capture those BRL 800 million worth of synergies, albeit a conservative number, but we have the elements to ensure sustainable development or sustainable growth, National Beef as well, the new plant in China, we still have a lot of work to do to generate cash and to unlock that value. We're still working on the strategic planning for 2026. And now in September, we'll have a better view of the year and we'll be able to predict the numbers for 2026 as well. We're not considering any M&A opportunities because we still have all that homework to do. And as far as dividends go, you were there when we made that announcement. We were considering the dividends for the year. Very good compensation, very good numbers. for both Marfrig and BRF. In September, we believe we'll be able to have a clear picture for the rest of the year and for next year as well. if we maintain a 3x debt EBITDA, MBRF still with the low -- or the low level in the U.S., we remain confident overall. On to derivatives now. Well, that will actually depend on the right of withdrawal, what position outtake, of course, I'll have a larger share than 41.5% because I was already comfortable at that level. But since the price is attractive as an investment opportunity, I think it can good -- I can have a good return on investment. I've been investing, increasing, therefore, my share my stake in the company. And we remain confident that we'll provide returns to all shareholders. I don't know whether I answered your question or not. Oh, absolutely. Thank you.
Operator: [Interpreted] Our next question comes from Gustavo Troyano from ItaÃº.
Gustavo Troyano: [Interpreted]Two points per related to Uruguay. Marcos mentioned that the capacity in South America today is similar to that before the deal. Rui also mentioned that the margins in Uruguay are very favorable. I would like to speak about the timing of the asset sales. Since the situation changed since last month with the new tariffs, I think this additional profitability from Uruguay is relevant. So I would like to go back to timing. Do you have any expectation that the deal is concluded? Or considering the new tariff scenario, is there any chance that the perceived value of the assets has changed? Any chance that those assets will remain with Marfrig. Would it make sense to have a different valuation for those assets? Question number two, about the capital structure for MBRF since we are close to the conclusion of the deal Marcos made it clear what the expected leverage was. But looking at 2026, I'd like to understand cash generation and CapEx. How much in CapEx there was for MBRF, that could be cut down? Should margin be compressed in the U.S.? I understand that Tang mentioned that RTM as a proxy cash generation, but if we were to consider CapEx reduction, what would be reasonable for a tighter cycle?
Unidentified Company Representative: [Interpreted] As for Uruguay, we have the asset sales to Minerva. The contract is confidential and there is a deadline. If the antitrust authority doesn't approve it, it falls through, but the decision is not in our hands. The EBITDA generated by the Uruguay plants. The money will be adjusted by CDI. So we are quite confident waiting for the decision by the antitrust institution in Uruguay, either we will have EBITDA or money in the Tacuarembo unit that slaughtered 1,000 head a day in the asset sales, it's now prepared for 2000 a head. I think we are slaughtering 1,400, but we are prepared for 2,000 a head a day that will generate raw material should the antitrust authority authorizes the sale. So either the sale or the company or the assets. Either way, we are comfortable. Prices won't change. Deadlines won't change, neither will prices. We will comply with what was agreed. And we will wait for the decision by the antitrust authority in Uruguay. As for our CapEx, we have invested in South America and at National Beef, it was stronger in the past 2 years. For 2026, it will be smaller. BRF has a more aggressive CapEx for 2026, but we also have tax credits if margins get worse. The company is able to maintain financial discipline. That goes from investments in marketing, holding CapEx if -- we can't do it this year, we will do it next year. So there are levers in order to maintain our financial discipline, which is our focus. And our financial discipline is in line with other players so that there is nothing that is anti-competitive.
Operator: [Interpreted] Thank you, Marcus. Guilherme Palhares from Santander.
Guilherme Palhares: [Interpreted] Good afternoon, everyone. Thank you for taking my question. My questions are to Tim. I would like to hear from him the demand in the U.S. We still see strong consumption despite the price. I would like to understand what the main drivers are for that demand. Are there any differences in channels, especially in the talk about bio and food services? That's my question.
Timothy M. Klein: Yes. We are definitely seeing very strong demand for beef in the U.S., both at the retail and food service sector. Typically, what happens as the prices go up, consumers make the decision to grade down to a lesser price -- lower price muscle meat. And so what we're seeing is escalation in prices of some of the end cuts, the chucks around and specifically ground beef. And ground beef represents 120 pounds a head of products. So to move the needle on margins, you don't need that big of increase on price on ground beef versus some of the other smaller cuts. So we're very encouraged by overall demand and the economy appears to be solid, and we don't see any concern on that front at this point.
Operator: [Interpreted] This concludes the Q&A session. I'll hand the call over to Mr. Marcos Molina, Founder and Chairman of the Board for his closing remarks.
Marcos Molina: [Interpreted] Thank you all very much. I would like to thank all the sell-side analysts for the work you do with both BRF and Marfrig. And now the challenge is to start working on the next results that will be with the new name, MBRF and you're going to be analyzing the consolidated company, and actually assess the true potential of the company, its efficiency with very iconic brands that we own, and we are ready being born with a diversified portfolio at 39% or 38% of processed products, a multi-protein company, a company that is efficient and truly global. 130,000 employees with the experience that we have both BRF, Sadia, Bertigon, Vale, Marfrig South America and our Uruguay operations, Argentina as well as National Beef. They will all be very efficient companies. Together, we'll strive for even more efficiency and hope to deliver better results quarter after quarter. providing the returns for all shareholders and everyone involved in the production -- productive chain.
Operator: [Interpreted] This concludes Marfrig's earnings call. If you have any questions, send your question to our IR team through ir@marfrig.com.pr. Thank you all for attending, and have a great day. Thank you. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]